Operator: Good afternoon, ladies and gentlemen. This is the Chorus Call conference operator. Welcome and thank you for joining National Bank of Greece First Quarter 2016 Financial Results Conference Call. At this time, I would like to turn the conference over to Mr. Paul Mylonas, Deputy CEO of National Bank of Greece. Mr. Mylonas, please go ahead.
Paul Mylonas: Thank you very much. Good afternoon, everyone; and good morning to those of you joining from the U.S. Welcome to NBG’s Q1 2016 financial results call. I’m joined by Ioannis Kyriakopoulos, Group CFO; George Angelides, Head of Finance; and Greg Papagrigoris, Head of IR. After some quick introductory remarks from my side and from the CFO, we will turn to Q&A. So let’s begin. 2015 was a year when NBG completed the fortification of its balance sheet. Following the December capital raise and the sale of Finansbank, which is expected to be completed in mid-June, its provision coverage ratio was raised to 77%; and its capital ratio to 17.5%, excluding the CoCos; levels which are deemed appropriate for working through the high level of non-performing loans as per the recent SSM comprehensive assessment. In 2016, NBG’s goals are to return to domestic profitability, both through improving top-line performance, as well as increasing efficiency, including in the management of its troubled loans portfolio. For the first half of the year, the main drivers for the improvement in profitability are the ongoing reduction in funding costs and the beginning of the normalization of provisions. In the second half of the year, we also expect support from higher banking activity, both in the form of an acceleration in disbursements and higher banking fees. Regarding funding costs, NBG has sharply reduced its exposure to Pillar 2 bonds to a current level of just EUR3 billion, versus EUR16 billion back in Q3, 2015. We have also repaid Pillar 3 bonds of EUR2 billion. These actions constitute an annualized P&L savings of more than EUR160 million in fees. The savings would rise to as high as EUR200 million upon the elimination of our residual Pillar 2 funding. Despite adverse seasonality in deposits, we’ve managed to reduce further our ELA funding position by circa EUR0.4 billion in Q1, maintaining the lowest exposure in the sector at only EUR11 billion of ELA. The completion of the sale of Finansbank will result in a positive liquidity impact of circa EUR3.5 billion; and will also permit NBG to eliminate Pillar 2 funding and apply for the repayment of the EUR2 billion of CoCos; the only reason to keep them being to satisfy MREL requirements. Before the end year, the agreed sale of NBGI PE and Astir should provide another EUR0.5 billion of liquidity; while the envisaged reinstatement of the ECB waiver on Greek collateral should allow NBG to reduce ELA by more than EUR1 billion as far as Greek sovereign paper is concerned, and substantially more if covered bonds are factored in. Developments in asset quality are encouraging so far in 2016. Quarterly P&L provisions for loans are down significantly, with the domestic cost of risk down to 164 basis points, far below the levels of 2015, even after adjusting for the AQR. Importantly, NPE formation is zero, with cure rates of restructured loans picking up to offset new inflows. Please note that the NPE formation developments do not benefit from write-offs. NPL formation is negative on the retail side, and would have been so far as well for the corporates, but for a handful of loans, already classified as NPEs, that turned to NPLs. In other words, there was no need for additional provisions for these loans. It is also important to note that inflows from the part of the loan book that has never been restructured are declining rapidly; and that collection rates are also improving, revealing an improved payments culture. Looking forward, NBG will be committing to NPE and NPL reduction targets with the SSM in the coming months. NPL should decline to the mid-teens in the medium term, from 35% currently; while the NPE ratio will decline somewhat more gradually, due to stricter tests for curing. Q1 represents a milestone of sorts, as profitability, as measured by PBT, turned positive for domestic operations for the first time during the past three years: since Q1 2013, to be exact. Pre-provision income was supported by the previously mentioned reduction in funding costs, including Pillar 2 fees; while OpEx continued to decline. I want to note that NBG plans to launch a VRS program in 2016, which should result in significant further cost savings. Recall that we took a provision hit of EUR118 million for this in 2015, a final point on profitability. The performance of NBG’s Southeast Europe businesses continue to improve, with their pre-provision income up approximately 22% quarter on quarter. The capital position remains unchanged compared with the previous quarter, with a CET1 ratio at 16.7% on a fully loaded CRD IV basis. Looking forward to the rest of the year. The successful completion of the first review of the economic program, although coming later than initially expected, should act as a key catalyst and support the economy’s return to positive growth as soon as the second half of the year. The completion of the review will clearly lead to a much-needed reduction in uncertainty, and will also have the following immediate tangible benefits: first, sizable liquidity injection into the economy, through the reduction of government arrears towards the private sector; second, the envisaged reinstatement of the ECB waiver on Greek sovereign assets in QE participation; third, a rerating of the Greek sovereign. The economic recovery will support banking activity, and thus a return to profitability of the banks in line with our guidance. It will also facilitate the workout of the non-performing loans. So 2016, hopefully, will be remembered as a first year of a sustainable recovery for NBG. With that, I would like to ask Ioannis to guide you through the detailed presentation of the financial results. Ioannis?
Ioannis Kyriakopoulos: Thank you, Paul. Let me start with the liquidity, on Slide 7. As we had indicated in the previous quarter, deposits in Greece dropped QonQ to the tune of 2.5%, as the previous quarter’s increase was various activity to seasonal effect. However, total deposit balance remained above the Q2, 2015 levels, when capital controls were introduced. Deposit balances in the Southeastern Europe remained broadly stable. On the other side of the balance sheet, loan deleveraging in Greece continued, with gross loans contracted by less than 1% QonQ. This resulted in the loan/deposit ratio in Greece to pick up slightly to 91%, as shown on Slide 8; still the lowest in the sector by far and well below the 115% threshold applicable for all Greek banks, underlining our superior liquid position. To complete the picture on the liquidity front in Slide 9, the first quarter of 2016, Eurosystem funding contracted to EUR22.8 billion, with ELA particular dropping to EUR11 billion. With recent May data, Eurosystem funding dropped further, to EUR20.8 billion, as interbank repos increased to EUR2.5 billion at zero cost, and NBG sold [indiscernible] billion of EFSF bonds. More importantly, the most expensive element of ELA, namely the Pillar 2 and Pillar 3 bonds, dropped substantially, with EUR2 billion of Pillar 3 bonds eliminated, while the nominal value of the Pillar 2 bonds in issue was reduced to EUR3 billion from EUR16 billion six months ago. As discussed in the previous quarter, the positive impact in profitability from the reduced exposure to the Pillars is already evident in our commission income line, which will be discussed in detail later. The Bank also intends to participate in the second TLTRO, with a maximum amount of EUR7.3 billion. Undrawn liquidity remains on comfortable levels of EUR6.4 billion, excluding any undrawn Pillar 2 guarantees. As a final point on liquidity, the imminent completion of the Finansbank transaction will boost liquidity by EUR3.5 billion, while the other agreed transactions of Astir Palace and NBGI Private Equity will generate additional liquidity of circa EUR500 million, reducing the Eurosystem exposure by the same amount. Moving on to profitability, on Slide 11. Domestic core PPI jumped 23% QonQ to EUR189 million; and a similar picture is seen at the Group level, with core PPI jumping 21% year on year. As can be seen in the right-hand side graph, the main driver of the domestic core PPI growth was the Pillar 2 cost reduction that I mentioned earlier, as well as the operating expenses containment. Excluding insurance income drop, which mainly relates with poor performance of unit-linked products due to valuation losses, fees would have been flat QonQ. Going in a bit more detail, Slide 12. Domestic NII in the first quarter increased to EUR396 million as funding costs were reduced by substantial EUR23 million QonQ on the back of the ongoing deposit repricing and Eurosystem cost reduction as mentioned earlier; while NII from the loans was down QonQ mostly on the deleveraging effect. The above trends are further explained as shown on Slide 13 by the improvement in the overall deposit yield that was reduced by 15 basis points QonQ on the back of the ongoing repricing of the time deposits. Indeed, time deposits yield decreased by 31 basis points QonQ while core deposits yield remained unchanged. Conversely, on the asset side, on Slide 14, total lending yield remains almost flat QonQ at 409 basis points, leading to deleveraging taking stock. Moving on to fees on Slide 15, and excluding the benefit from the Pillar 2 reduction, the first quarter our domestic commission income remained flat QonQ, as any minor gains in banking fees and fund management were offset with equally small decline in corporate retail lending fees. As mentioned earlier, the insurance income was lower this quarter, leading to a drop in the Group fee in insurance income of 12% QonQ. However, the benefit from the reduction of the Pillar 2 cost, by EUR24 million, drove Group fee and insurance income up 24% QonQ. Moving on to operational expenses in Slide 16. Domestic costs dropped more than 7% QonQ while on a year-on-year level, Group costs were down more than 2%. This drop, combined with the recovery of the revenues, resulted in a cost to core income of 56%, similar to the levels of the first quarter of last year. It should be noted here that we expect further efficiency gains from the upcoming voluntary exit scheme, the cost of which has already been provided for in the fourth quarter of 2015. Now moving on with the quality – of the asset quality, Slide 18. Our 90 days past due ratio in Greece increased by 60 basis points QonQ, while coverage remained broadly unchanged at 77%. Total formation at EUR127 million led to low quarterly provisions, with the cost of risk dropping significantly to 164 basis points, in line with our guidance in the previous quarter. NBG retains the lower 90 days past due ratio and the highest coverage in the sector. Looking at the 90 days past due formation in a bit more detail, on Slide 19. You can see that the retail segment remained firmly in negative territory. Also, corporate formation stood close to zero, excluding a limited amount of large corporate delinquencies already identified as NPEs. Overall, net formation stood at EUR127 million, as seen on Slide 20, while restructurings remains strong at EUR609 million, reflecting our continuous efforts and the willingness of NPL customers to settle their obligations. The level of the NPEs remain unchanged quarter on quarter at EUR22 billion. On a per-segment basis in Slide 21, cash coverage of the unsecured consumer 90 days past due is virtually 100%, while on the corporate segment it’s more than 100%, reflecting provisions taken in accordance with the NPE definitions. It is worth noting at this point that the forborne NPEs below 90 days stands at EUR5.2 billion, of which EUR4.5 billion are below 30 days, which accounted for curings they remain so for the next 12 months. Lastly, moving to capital, Slide 23. That was mostly unchanged QonQ with the Common Equity Tier 1 ratio at 17.2% and 16.7% on a CRD IV fully loaded basis. These numbers are pro forma for the already announced and approved capital elections including the repayment of the CoCos that add another 500 basis points to CET1 ratio. NBG remains the best capitalized Bank in the sector. And on this note, I would like to open the floor to questions.
Operator: The first question comes from the line of Mr. Domenico Santoro from Autonomous Research LLP. Mr. Santoro, please go ahead.
Domenico Santoro: Thanks for the presentation, good afternoon. A couple of questions from my side. Have I understood correctly that the cost of the Pillar 2 bonds on fees that you are going to save this year is around EUR160 million? And I catch something during the call, I don’t know whether I am correct, that you’re basically including also the cost of funding that would be around EUR200 million. So just wonder whether I got correctly and if you can elaborate further on this additional EUR40 million? Then on the CoCos. You mentioned before that – is it correct that you might maintain them just to comply with the MREL requirements? And then on the cost of the Pillar 2 as well, was just wondering whether you can anticipate what could be the accrual in the second quarter? Thank you.
Paul Mylonas: Okay, on the first question, the additional EUR40 million, is if we eliminate the remaining EUR3 billion, which we think we will do soon after the completion of the Finansbank transaction. We may even do it earlier with the lifting of the waiver if that occurs earlier in June. So that’s the EUR40 million. The second question was on MREL. I didn’t say that. We have every intention to repay the CoCos. I’m just saying that the regulator on his side may have certain views. I think the MREL views are still being formed within the minds to the regulators and we will see what the levels are going to be and, when they are communicated to us, I’m sure they will have a view on what we should do with the CoCos. And on the final, I don’t think I understood the question. If you could just repeat the final question?
Domenico Santoro: Just wondering, given that you have reimbursed almost all the Pillar 2 bonds, was just wondering what could be in the second quarter, the accrual in the fee line? The cost for the fee?
Paul Mylonas: I see.
Domenico Santoro: Vis-a-vis the EUR30 million that you booked in Q1.
Paul Mylonas: It’s going to be close to half, I think, but – a bit less than half is what the team is saying here. Because it’s occurred in many steps during the quarter, that’s why it’s not a…
Domenico Santoro: Can I also ask how much you’re going to get in additional collateral in the case on June 2, the ECB’s going to restate the waiver on GGB bonds, on government bonds, please?
Paul Mylonas: In my remarks I mentioned that it could be as much as one and a half, depending on the haircut, because clearly, it’s not just the reinstatement but with what collateral haircuts it will be reinstated. And then the other question is whether other securities will also be held such as the covered bonds. So, most likely about one and a half, but could be more if covered bonds are also included.
Domenico Santoro: Okay. Thank you.
Operator: The next question comes from the line of Mr. Subramanian Akhil of SLS Capital. Mr. Subramanian, please go ahead.
Subramanian Akhil: Hi. I just had a quick question. Can you just give us your thoughts on what kind of magnitude do you expect in the NPE reduction this year and next year?
Paul Mylonas: As I said, we are currently discussing our targets with the SSM. We haven’t reached a target number with them. For 2016, I don’t think you’ll see a significant reduction in NPEs from recoveries, from curing, because it takes time to cure. And the corporates, even if you do a fantastic restructuring, you’re unlikely to lift provisions, certainly not all provisions. And therefore, corporate NPEs cannot cure even in one or two years. On the retail, there’s a 12-month curing. So again, that implies very little curing in 2016. Now, one thing that we will do in 2016 which will bring down NPEs is write-offs. And there, we will do over EUR1 billion. So from that alone we should see a reduction in NPEs. Going on to 2017, I prefer waiting to see what the SSM guides us on our targets. We have a reduction penciled in of the order of EUR3 billion but that’s – I’m sorry, of EUR1 billion, but that’s to be negotiated with the SSM. So it really doesn’t matter what my target is; it’s what the agreed target will be.
Subramanian Akhil: Okay, thank you.
Operator: The next question comes from the line of Mr. Tian Yafei of Citigroup. Mr. Tian, please go ahead.
Tian Yafei: Hi, thank you for taking the questions. I have two questions. The first is around your projection of deposit inflow. Given gradually you will see the EUR10 billion reinvestment coming into Greece, how do you envision that flowing through the deposit system; and how much do you envision NBG in capturing that market share? And then, secondly, is around the EFSF bond. When do you expect the ECB to start purchasing the EFSF bond? And what is the estimated impact to the P&L as well as capital? Thank you.
Paul Mylonas: Okay, on the first question of the EUR10 billion, as you know, it’s not clear when they will come in during the next few months and how much will be earmarked for the repayment of debt. I think, if my memory serves me correctly, there’s about EUR7 billion of debt repayments through to November. So, if you earmark EUR7 billion for that, that leaves only about EUR3 billion for the reduction of arrears, which should come in. And then the question is how much of that stays in the economy; how much of that goes to foreign suppliers? If you assume, say, EUR2 billion stays in the economy and we get our 30%, 25%, depending on the total core deposits, whatever, that’s sort of the number you’re looking at. But that’s a very rough calculation based on the way I explained it. And then on the EFSF. We’ve already sold EUR1 billion. And the question here is we have to consider whether we can sell off the 50% of the EUR9 billion that we have. And that would lead to, I think, a capital benefit of the order of just short of EUR100 million. And then the question is whether we want to put all the EFSF bonds in to sell them or use them for the collateral for the TLTRO, which gives us a benefit of 40 basis points per year for four or five years. As the more collateral that’s eligible for the Eurosystem, we can do both.
Tian Yafei: I understand. Thank you for your previous explanation about the NPE reduction and your projection of that. Some of your peers have already given out targets when it comes to the NPL reduction, and many of them have given targets as much as 50% of NPL reduction. Are you able to give, at this stage, a similar level of guidance, or is this a bit too early and you continue this discussion with SSM?
Paul Mylonas: In my introductory remarks, I tried to give some guidance. Our NPL, which is always easier to handle than NPEs, will be reduced to the mid-teens in the medium term. Now, for NPE balances, as I said, we still need to see what constitutes curing. For example, you have a corporate loan. You give a three-year grace on capital, which is like a traditional instrument to allow a firm to breathe and to get back on its feet. And then, during that period of grace on capital, clearly, it’s still an NPE. It’s only when you start spending that capital that you can even start thinking of it as cured. So you’d think at least one year of paying capital back. So it takes at least four years of something that is restructured very nicely today before it cures. That’s for corporates. So corporates cure very slowly. Now, the long-term instruments, the long-term tools we have to restructure our mortgages, which is your classic split balance, which is that you have a fraction of the loan frozen with no interest or capital clearly being paid on it, while the debtor pays for several years just the split part, the unfrozen part. Clearly, the frozen part cannot be considered cured. So you see that solutions which lead to viability of clients, whether they’re corporate or retail, take time to cure in the NPE sense, compared to the NPL sense. In the NPL sense, you restructure a loan. Immediately 100% of that loan is considered performing in the NPL sense.
Tian Yafei: Yes, I understand. Thank you. Thank you for the explanation.
Operator: The next question is from Mr. Zicker Bruno of Fintech. Mr. Zicker, please go ahead.
Zicker Bruno: Hi, good afternoon. Just a few questions, please. The first one on the corporate NPEs. Would you be able to elaborate if the other banks also had exposure to the same corporates? The second one, in terms of the recovery in general. I understand the lawyers have been on strike for a long time. How has this affected really your ability to recover? And do you think that numbers could have been slightly or materially better if you had the full powers of the law available? Then if you could give us some more color on the trading line, both what happened this quarter and then, if you can expect some benefit in the following quarter, given the repricing of assets in Greece and how you’re exposed to that. And then, finally, just some details on the other impairments that you had in Greece. Actually, I don’t know if that was in Greece or not. The EUR34 million. Thank you very much. Yes, in Greece.
Paul Mylonas: Okay, I’ll take some of the questions; then I’ll pass some of the others to the CFO. The first question, I think, is do we have common corporates with other banks. Yes, all the large and SME corporates, traditionally, you have more than one banking relationship. The larger the firm, the more banks are involved.
Zicker Bruno: No, but those three cases.
Paul Mylonas: Sorry?
Zicker Bruno: The three cases that you’ve pointed out.
Paul Mylonas: Yes. Clearly, they’re large and there is more than one bank involved. Second, unfortunately, I don’t think I can give you a great answer on the what if there had been no strike by the lawyers. Clearly, we are – the institutional framework is such that in any case, the courts are slow. We are not going that – we’re not counting on the courts for that much help in sorting out the NPEs. We’re trying to do out-of-court settlements to the best of our ability. When you go to the courts, it takes several years. A few months, probably, I would say, didn’t add huge amounts of difference to where our NPLs and NPEs will be in the next few years. Now, on the trading and on the other, I will turn to Ioannis, CFO.
Ioannis Kyriakopoulos: Yes, in Q1, the trading was close to zero because we had some losses on the derivatives, given the decrease in the interest rate. That were offset by gains from the bilateral CVA, the credit value adjustment. We had the same, but in other ways, in the Q4, where we had lower losses in the derivatives but higher DVA gain. So that led to some sort of flat trading income in this quarter. In the other impairments, we had to book some impairments on investment for closed property; some on private equity; and also, some on legal and tax claims.
Zicker Bruno: Okay, thank you.
Operator: The next question comes from the line of Mr. Palacios Santos of Polygon. Mr. Palacios, please go ahead.
Palacios Santos: Hi, good evening. Just a question on the completion of Finansbank, what exactly are the next steps? And how soon do you think that the transaction can be closed?
Paul Mylonas: As I said in my introductory remarks, we expect to close somewhere in June, closer to the middle of June. That being the case, you can obviously understand that there’s hardly anything of substance outstanding.
Operator: The next question comes from the line of Mr. Linnane Nick of Unigestion. Mr. Linnane, please go ahead.
Linnane Nick: Thanks for taking my questions. Apologies for the first one, in case you commented on it because I missed the first part of the call. But do you have clarity on the repayment of the CoCos, whether you are able to do that and when; or if not, when you think you would get a decision as to whether or not you can do that? That’s the first question. And the second one is assuming the ECB reinstates the waiver, are you able to repo T bill, Greek Government T bills with the ECB or not?
Paul Mylonas: Regarding the second question, T bills are eligible up to the limit set by the ECB. Recall that they have put limits on T bill eligibility, due to an attempt to limit financing of the government through that instrument.
Linnane Nick: What was that limit historically?
Paul Mylonas: The system limit is at – our limit is at EUR800 million nominal. EUR800 million is the nominal; EUR400 million is the cash value.
Linnane Nick: And for the system [indiscernible]
Paul Mylonas: No, we can find the system limit. Sorry, we don’t have that. Regarding your question on the CoCos, we have every intention to apply for repayment. The only potential for the regulator not to approve, as far as I can tell, is the MREL requirements which are coming up. And my understanding is that we will get from the SRB our number in the next half-year. And the regulator may wish to take that into consideration. I guess it’s speculation on my part, but I think it would be logical for the regulator, knowing that the MREL’s coming up, to take that into consideration. That’s all I’m saying.
Linnane Nick: Okay, thank you.
Operator: The next question comes from the line of Mr. Formanko Paul of JPMorgan. Mr. Mr. Formanko, please go ahead.
Formanko Paul: Good evening. Just on Southeastern Europe, you seem to have a quite resilient performance there, particularly on the NII, pretty stable, which is somewhat different from what we’ve seen from some of the peers, which are experiencing some pressure. Is there any particular reason for that? Are you growing the book or repricing deposits? Are you benefiting from similar trends as in Greece? And then also, what should we expect in terms of potential profitability? I assume Q1 means that we should also expect profits for Southeastern Europe, not just for Greece. Thank you.
Paul Mylonas: Thanks, Paul. I don’t think we’re doing anything that different from others, but I may not be following as closely. Clearly, we’ve had a strong repricing of funding of deposits. Loan demand has been weak, so there’s been a pickup of the NIM, while the fees and the costs have been flattish. So that has helped the PPI. Clearly, the asset quality has been improving and, therefore, less needed provisions. And that reflects, I think you follow it better than I, that all the economies there are seeing quite strong increases in GDP in the orders of 3s and in Romania 4% in this year. So the macro is much, much better in these economies. So I think that’s what’s helping, the most part, our profitability, combined with the fact that our banks have excess liquidity and, therefore, can price down deposits probably a bit more aggressively than some others. Was there another part of the question which I missed or is that fine?
Formanko Paul: Yes, thank you, Paul. And I guess there are no imminent plans for disposals, any of these subsidiaries. Or are you actively looking at this stage? Or I guess you have a bit of time…
Paul Mylonas: We have commitments in the region and we will be opportunistic. And, as I said, the macro is looking up, so if something opportune arises, we’ll move faster rather than slower but we’ll keep you updated.
Formanko Paul: Okay, understood. Thank you, Paul.
Operator: The next question comes from the line of Mr. Goodacre Samuel of Morgan Stanley. Mr. Goodacre, please go ahead.
Goodacre Samuel: Good afternoon. Just a very simple question on cost of risk. I believe your guidance for the full year was 1.5% to 1.7%. You’re comfortably within that range in the first quarter already. And, actually, some of your peers have said that first quarter should be perhaps the highest in the year on movements in collateral values, et cetera, et cetera. Does that potentially mean that you too could see a sequential improvement and actually, it would be the lower end of your guidance, if not actually below that we could see you deliver for the full year?
Paul Mylonas: It may be too early to give guidance that we’ll beat the target. But clearly, the first quarter is a very positive outcome. So far in Q2, we’re seeing a continuation more or less of what we saw in Q1 and this is before even the review was completed. So, depending how the economy reacts, yes we may. But I would rather have the same discussion in the next quarter conference call.
Goodacre Samuel: Okay, thank you.
Operator: The next question comes from the line of Mr. Boulougouris Alex of Wood & Co. Mr. Boulougouris, please go ahead.
Boulougouris Alex: Just a small question regarding the other impairments of EUR34 million. Could you please clarify what exactly they are? And what should we expect on that line in the following quarters? Thank you.
Paul Mylonas: Ioannis?
Ioannis Kyriakopoulos: Yes, I said about them before. But about expectations, impairments is not something we can expect. What was in line, we did it in this quarter, so we cannot really comment on…
Boulougouris Alex: Sorry, I missed before what you said, if you could…
Ioannis Kyriakopoulos: I said that there were some impairments on real estate, foreclosed estate, on legal and tax claims, on the private equity business and some markdowns on properties. So these are probably not to be repeated. But there, you don’t really know unless you do the test.
Boulougouris Alex: Okay, thank you.
Operator: Mr. Mylonas, there are no more questions registered at this time. You may now proceed with your closing statements.
Paul Mylonas: Thank you all for taking the time to join us for the Q1 results call. We will be available to answer all questions, the IR team and ourselves, Ioannis and myself. We’ll be going to a couple of our road shows in the next month or two, so I’m sure we will have a chance to talk one on one as well. So, on that note, I will say good afternoon to everyone and have a good day to those in the States and we’ll talk soon. Bye-bye.